Operator: Greetings, and welcome to the La-Z-Boy Incorporated Fiscal 2015 Fourth Quarter and Year-End Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Kathy Liebmann, Director of Investor Relations and Corporate Communications. Thank you. You may begin.
Kathy Liebmann: Thank you, Jessica. Good morning and thank you for joining us to discuss our fiscal 2015 fourth quarter and year-end results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. Slides will accompany this presentation and are available for viewing through our webcast link. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remark. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President, and Chief Executive Officer. Kurt?
Kurt L. Darrow: Thank you, Kathy, and good morning, everyone. As Kathy mentioned, a few slides will accompany our remarks this morning if you would like to follow along. Yesterday afternoon, we reported our fiscal 2015 full year and fourth quarter results. All-in-all, it was a good year marked with steady progress as we continue to transform our company through the execution of key strategic growth initiatives. For the year, sales increased 5% with increases in all three business segments. Operating income grew 15.5% and we generated $87 million in cash from operating activities. We also returned 66.4 million in value to shareholders through an increased dividend and share purchases, an increase of 56% over last year. And we finished the year with a strong balance sheet, which will continue to provide us with the necessary financial flexibility to invest in our business to drive long-term profitable growth while continuing to return value to our shareholders. Throughout the year, we made excellent progress with our 4-4-5 store build-out strategy, successfully implemented our new ERP system in four of our five domestic La-Z-Boy branded facilities and strengthened our casegoods segment through a major restructuring with a move to a pure-import model, the key component. Before I discuss the particulars for the fourth quarter, I would like to take a moment to provide some perspective on the progress La-Z-Boy Incorporated has made over the five-year period following the economic downturns in the fall of 2008 and 2009. Since fiscal 2010, we have increased sales by 29%, increased our operating income by 168%, increased income from continuing operations by 134% and increased our earnings per share by 121%. We have also returned 129 million in value to shareholders in the form of dividends and share purchases and have generated $357 million in cash from operating activities. And finally during this period of time, our share price has increased 86%. Fueling this performance has been an ongoing focus on building our branded distribution channel principally through our 4-4-5 store growth strategy introduced two years ago, a compelling marketing campaign that is resonating with consumers, an emphasis on providing consumers with a great shopping experience at the La-Z-Boy furniture gallery stores and applying lean operating principals to every facet of the organization. At the same time, with the strong culture of innovation embedded within the roots of our company, our merchandise offering is as good as it’s ever been with our improved power product and sleek Urban Attitudes collection driving top line growth. Indeed, La-Z-Boy looks very different today than it did five years ago with our product, our retail stores and our marketing more in sync than ever. We believe this perspective is important as it demonstrates the strategic moves and investments we are making in the company are delivering results and providing a solid platform for profitable growth in future market share gains. Now let me take a few moments to review the three operating segments for the quarter, first, upholstery. For the quarter, sales in the upholstery segment increased almost 7% to 305 million versus last year’s fourth quarter and we achieved an 11.6% operating margin, an increase from 10.9% in the comparable quarter last year. We achieved this strong performance despite the additional expenses associated with our ERP implementation at our plants as we were able to benefit from volume leverage as well as supply chain efficiencies. We have been on a five-year journey working on the design and implementation of the new ERP system throughout the company. As I mentioned a moment ago during fiscal '15, we implemented the ERP system in four of our La-Z-Boy branded facilities with the implementation at our fifth and largest facility, our Dayton, Tennessee plant going live just last week. I’m pleased to report that it was successful and that today, all the La-Z-Boy branded facilities are operating on one integrated system. With respect to our supply chain initiatives, given the size and scope of the total La-Z-Boy enterprise, we see opportunity to drive operational efficiencies throughout our supply chain and have established a supply chain operational excellence initiative to optimize all facets of sourcing and global logistics. We are consolidating our supply chain efforts so they are managed on a corporate-wide basis rather than by our individual operating companies, and in April we established a global trading company based in Hong Kong to leverage our ability to efficiently procure materials, innovate with new products, source strategically and capitalize on our global transportation network. As we work with multiple suppliers in Asia, our sourcing program for finished goods, components and raw materials is quite extensive and we believe that having dedicated underground resources will enable us to improve quality and delivery times by reducing cost for the organization. While we are already benefitting from this initiative, it is a multiyear project and we expect to further optimize our supply chain as we move forward. On the merchandising side, we are enjoying success with our enhanced power product and Urban Attitudes collection. At the April High Point market, we expanded the collection and it is being well received by consumers and performing very well at retail. With consumer preferences for researching and purchasing furniture continuing to change, we are responding to those dynamics through evolving marketing and technology programs, enhancements to the ways in which the consumers are able to connect with us and the various services we offer. Our objective is to make the consumer experience as robust as possible and to make her shopping process inspiring and easy no matter where that process occurs, either online or offline. Our 'Live Life Comfortably' campaign featuring Brooke Shields continues to progress. We plan to air two commercials late this summer ahead of the busier fall selling season. The commercials have a new and different creative twist and we believe they will build on the momentum the campaign has already established, and will continue to widen the perception of La-Z-Boy and expand our consumer demographics. Additionally, late this summer, we plan to launch new desktop, mobile and ecommerce platforms for the La-Z-Boy branded business. Our goal is to create a compelling digital consumer experience that will make it easier to be inspired and informed and to shop for products and connect with our stores digitally. Finally, we continue to make steady progress with our 4-4-5 build-out strategy. During fiscal 2015, across the La-Z-Boy furniture galleries network meaning activity by both the company and our independent dealers, 30 projects were completed consisting of 15 new stores, 11 remodels, four relocations and five closures bringing the total store count to 325. In addition to opening new stores, we are actively changing our old format stores to elevate the performance of the entire network. All new stores opened in the future will be in the new concept design format, which is performing at a higher level than our other format stores. To review the numbers we gave out last quarter in calendar year 2014, the new concept design store averaged $4.2 million in revenue, the new generation stores averaged $4 million in revenue and the old format stores averaged 3.2 million. During fiscal '15, we improved the quality of the store footprint by about doubling the number of new concept design stores ending the year with 61. We expect to have close to 100 of the new format stores by the end of fiscal 2016 and our planning for 35 to 40 projects throughout the year, which will include 17 net new stores. When 4-4-5 is complete, anticipate having 200 stores in the new concept design and 200 in the new generation format. So you will note we are making important and strategic investments in the business to strengthen our operating platform as well as to drive growth with the ERP system stores, new products, our marketing campaign and digital platforms. While these investments impacted our performance the past year, they are necessary and will benefit the company for the long term. In just a few minutes, Mike will provide more detail on what these investments will look like in 2016. Written same-store sales for the La-Z-Boy furniture gallery network, for the first five months of calendar 2015, so the January through May period were up 4.6%. As we mentioned on our last call, written activity in January was strong with it somewhat choppy during the fourth quarter. In May, we experienced a nice pickup in business including a solid Memorial Day weekend. Now let me turn our attention to casegoods. Sales for fiscal 2015 fourth quarter were 25.9 million, down 5% from last year’s fourth quarter. During the year, our casegoods segment underwent a major restructuring, which included seasoned production at our Hudson, North Carolina manufacturing facility and moving to a pure-import model while consolidating offices and showrooms and exiting the youth and hospitality business. For the year, we nearly doubled our operating income versus fiscal 2014. As we noted in the 10-K, for the year we experienced lower sales of hospitality product through the product line being eliminated when we ceased domestic production. A large part of this quarter sales decline related to exiting the hospitality business sales were included in last year’s fourth quarter volume. Over the past 18 months, we’ve been working to refresh our casegoods product lines to reflect the more transitional styling consumers are favoring today as homes become less formal. We are gaining traction with our new collections and with the casegoods business remaining strategic with the La-Z-Boy furniture gallery stores and particularly our in-home design program, we believe the combination of the many moves we have made stabilize the business and positioned it for long-term performance improvement. Now moving on to retail. Delivered sales in the retail segment increased 10% to 86.7 million in the fourth quarter compared to last year’s comparable period. On the core base of 95 stores included in last year’s period, delivered sales for the segment decreased 1.6%. The retail segment posted an operating margin of 3.8% compared to 3.6% last year. In terms of metrics, on more traffic during the quarter, the company-owned stores experienced increases in ticket count, units per ticket and conversion. As part of our 4-4-5 strategy, we expect the company ownership for the total store base to increase from today’s level of approximately one-third to somewhere north of 40%. We will accomplish this through new locations primarily in existing markets where we need to increase the number of stores and through strategic acquisitions of our independent dealer stores. Early in the fourth quarter, we acquired four stores in southern California bringing our total store count in that market to 19. Our integrated retail strategy is a key component to driving margin expansion for the company with sales for the company-owned store delivering a blended or stacked margin as we earn a profit on both the wholesale and the retail sales. During fiscal 2015, the company opened eight new La-Z-Boy stores bringing our company-owned count to 110. For fiscal 2018, we are planning to open seven new stores in addition to some remodel activity. I will now turn over the call to Mike to review our financial performance.
Louis M. Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2015 fourth quarter were $375 million, up 6.2% compared with last year's fourth quarter of $353 million. As a reminder, the operating results of Bauhaus and Lea Industries are reported as discontinued operations. For the quarter, consolidated operating income increased 31% to $29.6 million compared with $22.5 million in the fiscal 2014 fourth quarter with the consolidated operating margin increasing to 7.9% from 6.4%. The company reported net income from continuing operations attributable to La-Z-Boy Incorporated of $19.8 million or $0.38 per diluted share, which included a $0.01 per share restructuring charge and $0.01 in antidumping income related to the company's casegoods segment. This compares with last year's fourth quarter net income of $14.6 million or $0.27 per diluted share, which included a $0.06 per share restructuring charge related to the casegoods segment. As noted in our press release, adjusted income from continuing operations attributable to La-Z-Boy Incorporated per share was $0.38 in the fourth quarter of fiscal 2015 versus $0.33 in the fourth quarter of fiscal 2014. For the year, our consolidated operating margin was 7.2% versus 6.6% in fiscal 2014. Our consolidated gross margin improved 1.2 percentage points in fiscal 2015 as a result of increased volume at selling prices, the higher weighting of the retail segment and improved performance from our casegoods business due to the restructuring Kurt referenced earlier and a reduction to the life of reserves related to that segment. These factors were partially offset by raw material costs increases and disruptions experienced in our upholstery segment from the ERP implementation. I’d like to emphasize on a comment about the higher weighting of our retail business as this is important for modeling purposes. As you are aware, the retail business carries a higher gross margin than our manufacturing business. In general, furniture retailers have gross margins in the low 50% range versus wholesale businesses, which typically carry gross margins in the high 20% range. As our retail business becomes a bigger part of our overall business, theoretically our consolidated gross margin will increase. This brings me to my next point about SG&A. Part of the increase in consolidated SG&A expense as a percent of sales for fiscal 2015 was a result of our company-owned retail business growing. Let me give you some color on this as well. Typically, retail furniture businesses carry an SG&A expense as a percent of sales in the mid-to-high 40% range while wholesale businesses carry an expense in the high teens. So here to as our retail business continues to grow, and we have made it clear that we plan to increase our company-owned store count, our consolidated SG&A as a percent of sales will increase. For the full fiscal 2015 year, selling general and administrative expenses as a percent of sales increased by 0.6 percentage points compared with fiscal 2014. This was due to the growth of our retail segment, which has a higher level of SG&A expense as a percent of sales in our wholesale segment, as just discussed. Additionally, SG&A expense increased due to investment spending for technology reflecting the new ERP and the replacement of our Web site and ecommerce platform. Together, this spending resulted in a 0.3 percentage point increase for the year. We also experienced a 0.3 percentage point increase for distribution costs primarily related to expansion of our regional distribution centers network. Partially offsetting the increases associated with the ERP, the replacement of our Web site, the higher retail mix and new stores were lower incentive compensation costs of 0.5 percentage points for the full fiscal 2015 year. The decrease in compensation was driven by stronger prior year results against the incentive-based targets compared to this year’s performance. Before turning to the balance sheet, I’d like to go through a few items that are important for understanding fiscal year 2016. First, raw material economics. We do not see meaningful increases over fiscal 2015. Second, the technology spend for ERP and ecommerce as well as other technology platforms. Hereto, we do not see a meaningful change over fiscal 2015 although we will still have expenditures. With regard to the ERP, we just finished implementation at our Dayton, Tennessee plant, which is our largest plant producing some 40% of the La-Z-Boy branded product and has multiple shifts. We will work on the frontend of the business for the remainder of the fiscal year, specifically the sales order management component and we will touch on the customer service module. And with respect to replacement of the ecommerce and Web platforms, we are planning for an August launch so there will be some pressure in the first quarter. In total, however, for the year, the spend for technology should be fairly consistent with this year’s spend. Third, the new store drag. This relates to cost associated with the 90-day period around the new store opening and includes labor, reopening rent, advertising and technology. With roughly the same number of new stores planned in the company-owned retail segment for fiscal 2016 as in fiscal 2015, year-over-year this spend will be similar. Fourth, CapEx. Capital expenditures for the fiscal 2015 fourth quarter were $13.8 million. For the full year, CapEx was $70.3 million with $44.6 million relating to our new world headquarters. With that project behind us as well as the majority of the ERP project that can be capitalized, we expect CapEx for fiscal 2016 to be in the range of $30 million to $35 million for regular maintenance, transportation and equipment, continued investments in technology and for new stores. Fifth, depreciation. We expect our depreciation will increase around $5 million or about $1.25 million per quarter as we begin to depreciate the new headquarters and the new technology costs. And finally, the difference that I alluded to earlier with respect to SG&A gross margin as they relate to our retail business. Again, as a reminder, the retail business carries a higher gross margin and SG&A as a percent of sales, so as our retail business becomes a bigger component of our overall business, those line items will increase, which may offset some of the other efficiencies, gains with higher volume. Turning to the balance sheet. During the quarter, we generated $32 million in cash from operating activities and for the year, as Kurt said, we generated 87 million. We ended fiscal 2015 with $98.3 million in cash and cash equivalents, $45.5 million in investments to enhance returns on our cash and $10 million in restricted cash. For the full fiscal 2015 year, we spent $52 million to purchase 2.1 million shares including 600,000 shares in the fourth quarter. This leaves 5.7 million shares in the program for purchase and based on cash flows, other capital needs to invest in the business to drive growth and the stock price, we plan to continue to be opportunistic in the market with respect to buyback activity. And lastly, our effective tax rate for continuing operations for fiscal 2015 was 35% compared with a 34.3% for the fiscal 2014. Our effective tax rate for the full 2015 fiscal year was impacted by a tax benefit for the release of valuation allowances related to certain U.S. state deferred tax assets. Absent discrete adjustments, the effective tax rate for continuing operations in fiscal 2015 would have been 35.4%. Before I turn the call back to Kurt, I’d like to remind you of two things. First, as of fiscal year end, the last Saturday of April, fiscal 2016 will be a 53-week year with the extra week occurring in the fourth quarter. And second, our first quarter is typically the weakest in terms of sales and earnings due to a general slowdown throughout the furniture industry related to the summer period. As a result of this, we’ve closed down our manufacturing facilities for one week in July for vacation and maintenance. With low volume during the period in addition to the one week without production and shipments, we historically convert a lower rate during the first quarter. And now I’ll turn the call back to Kurt for his concluding remarks.
Kurt L. Darrow: Thank you, Mike. Before we close, I’m happy to report we have moved into our new world headquarters and the atmosphere in the office is energetic and very positive. We are invigorated by working in a more collaborative and creative environment that we believe will drive innovation, productivity, enhanced teamwork and the ability to attract and retain talent to the organization, and the investment in the building is behind us. The building is completely debt free and offsetting a portion of the costs will be benefits received from local and state governments for the next nine years. Moving forward, we believe our future is bright with many opportunities to grow our business. While we have a clear pathway to execute our 4-4-5 strategy, we are also hard at work setting the stage for the next wave of growth for the number of initiatives in the pipeline being studied and evaluated. At the same time, our team is working to further expand our product line, which will allow us to continue to increase our market share. Our brand remains the most recognized in the industry and our distribution network is vast. As we grow our business, we’ll be able to leverage the efficiencies of our operating platform while driving increased profitability through our integrated retail model. We will continue to make strategic investments in the company to drive profitable long-term growth and enhance shareholder return. I thank you for being on the call this morning and hope you found the new format with the slides helpful. I will now return the call to Kathy for the Q&A.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Jessica, please review the instructions for getting into the queue to ask questions.
Operator: Thank you. [Operator Instructions]. Our first question is coming from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed with your question.
Jason Gere: Hi, guys. This is actually Jason sitting in for Brad this morning. My first question is on some of your real estate. You’ve made a lot of good progress on your 4-4-5. I know you’ve talked about – you’ve kind of got some of the low-hanging fruit behind you and there’s a couple more difficult markets that you’re going to look to enter. I was wondering about your 2016 – fiscal '16. Are there anymore of those kind of lower-hanging fruit markets or are you going to have to kind of make a push into some of the New York, Boston type markets?
Kurt L. Darrow: Good question, Jason. So we really don’t have many vacant markets that the company is looking at right now. We are building two more stores this year and we want a third store to go with our first one in Edina in Minneapolis. So that’s kind of greenfield build-out. But after that it’s the markets we’re already in, it’s markets that we need additional stores. We’ll be putting between ourselves and our dealers two to three more stores in New Jersey and some other places. Yes, the greenfield markets are for the company diminished quite a bit. There are some smaller markets that our independent dealers are pursuing, so there will be some new communities experiencing presence of our stores but the majority is in the much larger markets with deeper penetration.
Jason Gere: Okay. And then whenever you look at – you mentioned strategically acquiring dealers. Do you have a sense of what that pipeline looks at? And is it you proactively going to a dealer and saying, you have three chains that are not really performing well, why don’t you sell those to me, or is it more a guy who’s looking to retire may just want to cash out of this investment. How those deals kind of arise?
Kurt L. Darrow: Well, we have had a store program for nearly 30-plus years and we’ve had great support over that time from our independent dealers. And it wasn’t really until about 10 years ago that the company got involved in owning stores. But for the most part, I would say, Jason, that it’s dealers talking with us about their exit strategy, about retiring, about not having a succession plan, about their kids not that interested in the building. So most of these have been very amicable, very business-like and very smooth. And just the nature of our business, of somebody that’s done this for 30 years trying to plan their retirement, becomes the natural process.
Jason Gere: Okay. And then I guess this one is more for Mike. There seems to be on very transition to a headquarters, there’s – you have a period of some duplicative costs. You have moving expenses, utilities in both places. Was there any impact on fourth quarter from that? And then what you’re really looking for in the first half of the year in terms of drag from the headquarters’ move?
Louis M. Riccio: There was a little bit of that disruption in the fourth quarter, because we moved in March. We pointed out some of that disruption, but it wasn’t significant for us to call out a percentage. We will have duplicative costs in the summer as we’ll run – we’ve tried to reduce that impact as much as possible. But the new building will cost more than the other building to run. We don’t have enough experience to how much the air conditioning is going to cost in the summer versus the other building. I don’t think it will be measurable that I’ll be pointing out that we lost X% of our earnings because of the new building, but other than the depreciation that I’ve already referred to in my comments.
Jason Gere: Okay. And then last, is there any kind of puts or takes that you’d call out within any of the segments that we should be looking at when we model out FY '16?
Kurt L. Darrow: So I would just make a couple of comments. One is I think the overwriting number that you should be cautious of is we talked a little bit about the softness of the retail business during the quarter. But the pace of the overall business for the first five months of the year same-store sales wise is 4.6% and that’s a pretty solid performance. The other thing, we got one more quarter of the casegoods business anniversarying the hospitality sales and a lot of that was in the first quarter. So there will be a little bit of comparison to that. And I think there was some $2 million, $2.5 million in the first quarter last year in the casegoods business and hospitality that’s not there this year. But it should not have an effect on the business for the year, just the first quarter.
Jason Gere: All right, I appreciate it and good luck next year.
Louis M. Riccio: Thank you.
Kurt L. Darrow: Thanks.
Operator: Thank you. Our next question is coming from the line of Budd Bugatch with Raymond James. Please proceed with your questions.
Budd Bugatch: Good morning, Kurt. Good morning, Mike. Good morning, Kathy. Hope everybody is well. I guess on casegoods, Kurt, you just made that comment about the 2.5 million. So for the year, should we think casegoods will actually have positive revenues comparison?
Kurt L. Darrow: That is our plan today and we believe there’s an ability to overcome the hospitality volume that we’re replacing. And as we go through our product refresh, the new groups are selling a lot better. In fact, a couple of them were a little short of inventory right now and catching up. So, yes, it would be our intention to not have a down year in casegoods.
Budd Bugatch: Okay. Thank you. And on the written sales for retail, I’m a little bit confused and make sure I understand it. That 4.5% for the first five months of this year, but the fourth quarter was just 1%. Is that right?
Kurt L. Darrow: That’s right, Budd, and the reason we’re giving that number is we had very strong written business in both January and May and choppy business in the fourth quarter. And I don’t want to use excuses. It’s hard to remember the fourth quarter because that was February and March and we experienced some of the same challenges not using this as an excuse, but we experienced weather issues, we experienced the port strikes. We had some of the other issues. But I think the better number is the pace of business in the entire network and the pace of business over a five-month period has averaged out at 4.6%.
Budd Bugatch: Okay. And so for the year, we would expect that mid-single digit kind of increase is a good way to look at for the year?
Kurt L. Darrow: I can’t predict the rest of the year. Our same-store sales increase last year for the whole network was right around 3%. We would hope to do a little better than that, but I’m not really going to give you a number. I can’t see into the back half of the year and any confidence to give you a number, but obviously we think we can still continue to grow the base store business.
Budd Bugatch: Okay. Let me take this tack. Mike, you had gone over and given us some of the mix comparison as the company’s characteristics change for gross margin and SG&A. Are there any other changes this year if we were going to just project out, should we project out something different to get those two numbers other than the mix change or what other factors, because you said raw materials are relatively benign. I take it that means there’s not much in the way of pricing. How do we think about the SG&A overall and the gross margin or cost of goods sold overall?
Louis M. Riccio: So in my comments, I tried to list as many things as we thought were prevalent to give, Budd, but – and obviously I emphasized a little bit more on the gross margin and SG&A because of the weighting of the retail. I’m just trying to make sure people understand that we may get some efficiencies in our gross margin or in our SG&A based on our volume at retail. But then as a consolidated number, it does offset some of that. But I don’t have any other color that I can give you that we’re aware of right now that’s going to impact other than the things that I outlined in my prepared comments.
Budd Bugatch: Okay. Kurt, let me just take some other attack now. You have a very strong balance sheet as you said nearly $100 million of unrestricted cash and almost no debt. Last year you returned a whole bunch of cash to shareholders, dividends. What’s the dividend policy thought process now? How should we project out of that if we want to do a couple years forward, because it looks like cash is going to grow on the balance sheet? You don’t have the claims of the new headquarters anymore and it looks like you’ve got depreciation fair – not terribly but fairly in close with CapEx.
Kurt L. Darrow: Well, Budd, I’d go back a little bit and say one of the things that we were a little cautious a couple of years ago with cash is because we knew we had all these investments we were making in technology and in stores and in the new headquarters. And with that behind us, we have a little more flexibility on what we want to do. But our priorities on our cash have not changed. It’s investing in the business, it’s share buyback and it’s dividends. And to tell you the weighting of those, I can’t comment because things could change. But we’re going to continue to try to increase our number of stores both through greenfield projects that we do and through buyback of our dealer organizations. And so we are watching that and trying to balance all three of those. But obviously, we’ve worked hard to get our balance sheet in this position and should we not have investments we can make in the business, you would see fairly strong returns of cash to the shareholders like you did last year. But we’re also looking to invest cash in the business long term to try to enhance our returns and grow our business.
Budd Bugatch: Should I take it in the order I think you gave it – you had share repurchase above dividend. That’s a more pressing – a higher priority --
Kurt L. Darrow: No, I would not. I would reverse – the order of magnitude is investing in the business is first and always first. And then how we return the cash to shareholders depends on a lot of factors and the share price in the market and things of that nature. So there are not hugely disproportionately weighted.
Budd Bugatch: Okay. And as the Board discusses dividend policy, is there a payout ratio that you target, is there yield that you target? What’s the thought on the Board that you can share with us in the public domain?
Kurt L. Darrow: Well, most of the things that we talk about in the Board I can’t share in the public domain. But we have our targets and we talk about the dividend appropriately and we introduce it three years ago and have increased it each of the last two years. So I think that’s a signal that we’re sensitive to what our shareholders are looking for and need. But I don’t want to make a blanket statement and commit to any kind of ratio, because we want to remain flexible.
Budd Bugatch: Okay. And lastly, Mike, for you just tax rate for modeling purposes 35.5 rate, is that a good rate or what would you think is the right rate?
Louis M. Riccio: That will be a good rate, Budd. I mean 35% to 36% is where we’ve been targeting. It just really depends on what our overall taxable income ends up being what some of these deductions get to be. But that’s a good range.
Kurt L. Darrow: But I’m not sure that’s a good rate but that is our rate.
Louis M. Riccio: I’d rather be 25% but I can’t seem to get it there.
Budd Bugatch: I hear you. Thank you very much.
Kurt L. Darrow: Thank you, Budd.
Operator: Thank you. The next question is coming from the line of Matt McCall with BB&T Capital Markets. Please proceed with your questions.
Matthew McCall: Thanks. Good morning, everybody.
Kurt L. Darrow: Good morning.
Matthew McCall: So just to clarify I guess first on the raw material side, you said there’s going to be no change, just making sure I understand what you’re saying there, so you had some pressure if I remember in '15. Are you going to get relief in '16 as that pressure goes away as we see some deflationary benefits or we’re going to see another year of mid teens type pressure?
Kurt L. Darrow: Our comment on that, Matt, was we don’t see much change in our raw material pricing in aggregate for the year. Some things are going down, some things are going up. Last year we did have raw material price pressures and we took some price increases to cover that. This year as we look out sitting here today, we don’t see much of that on our horizon and we haven’t done anything pricing wise to mitigate that.
Matthew McCall: Okay. Thank you. I mean you talked about the quarter – I’m talking about same-store sales here. We talk about the quarter being up slightly, the year being 4.6, the year-to-date being 4.6, in May it’s better. When you looked at the good marks and your broke out the different drivers traffic, ticket, units per ticket, conversion, is anything that changed during those months at all that drove out traffic that much better or was – the ticket was conversion or was it more of those items like weather and ports and some of the --?
Kurt L. Darrow: Matt, I would say that there’s three components to this and I really can’t tell you because frankly we’re not 100% clear. But there are three factors. Number one, the same-store sales number is the entire network not just our stores. So we know a little bit about some things we’ve changed within our stores on some incentive and compensation issues on some management changes, et cetera. But I don’t know intimately what our independent dealers did to drive their same-store sales through that five-month period, so I can’t comment on that. And the other factor here is the consumer. The consumer at times seems to retreat temporarily and then come back. And I think from everything we’ve seen in the market that the industry had a good Memorial Day weekend, which was not like the last couple of years. And I’m not positive to anything the industry did but I think the consumer was out more and all of us benefitted from that. So, I can’t point to one or two things that has made the difference and we’re as equally puzzled by the change month to month from being very positive to tepidly weak one month to the next with us not changing anything. So that’s a lot of conversation without a whole lot of detail because I think that’s the environment we’re in.
Matthew McCall: But I guess the point there is your results are consistent with what you’re seeing in the broader industry.
Kurt L. Darrow: Well, our own stores are paralleling the results of our independent dealers, so that’s kind of an ebb and flow. And when the company stores have a flat same-store sales month, it’s not like our independents are up 10% or anything like that. There is a pattern to that all over North America. And then remembering that we do at least 50% of our business with the non-store customers, the pattern I just outlined seems to be consistent with what their experiencing business as well.
Matthew McCall: Okay. And then you mentioned the supply chain operational excellence initiative, any more color you can add there in near term, long term, what you expect to accomplish from a savings perspective?
Kurt L. Darrow: Well, we’re just in the beginning phases and we have had a couple of people that have been working here at the Michigan office moving to Hong Kong and establishing our trading company. So to date we have been basically doing quality and logistics in our group in Asia, and it’s going to become a little more aggressive with procurement and direct sourcing and some other things that we won’t see a lot of benefit of that for another 12 to 18 months. But as we look at things organizationally to do it more corporately and has retail plays a larger and larger percentage of our growth in our business going forward, the global sourcing entity is a natural outgrowth of that.
Matthew McCall: Okay and more to come, okay. And then maybe Mike, you gave a nice list of kind of some puts and takes for '16 over '15. As we think about that in terms of your stated conversion targets, can you maybe consolidate all those items and is the bottom line other than the SG&A or gross margin shift, and I get that, but is the bottom line that will see some continued pressure on your targeted conversion in '16?
Louis M. Riccio: What we said I believe on the incremental basis for what we’re adding on for if we do same-store sales increases that type of thing, we’ve converted our stated amount. Now that we’re finished with Dayton, our largest plant, we went live a week and a half ago and everything is showing that it’s going very well. Still disruptive but based on having this being our largest plant with two shifts and all the different facets of this building, it’s going really well. But I don’t have anything that I can add to that to make the conversion any different. We are still working through can we give you all some better information on what an overall conversion would be without incremental. There’s just so many moving parts with our technology changes with the building, with the plan going live, so we just need to see some consistency to give you better information on that, so we can take out the incremental part.
Matthew McCall: Okay, all right, got it. Thank you guys.
Louis M. Riccio: Thanks.
Operator: Thank you. Our next question is coming from the line of Kristine Koerber with Barrington Research Associates. Please proceed with your questions.
Kristine Koerber: Good morning. First, let me just follow up on CapEx. So the 30 million to 35 million, is that something we should use – is that ongoing, is that something which you use beyond fiscal 2016?
Kurt L. Darrow: I think the depreciation and amortization getting around 30 million I think it’s little under that, but I think 30 million is a good number to use going forward for right now. We found that the one thing that we cannot go back on is making sure that we’re updating our technology. It’s changing so dramatically every year. So we’ll have a cadence of spending that money every year, maybe not any more than what we’re spending but we’ll have some cadence for spending that. And with our plants, we have dedicated resources ensuring that our plants stay modern. So we’ll continue to do that as well. So I think the $30 million number going forward is a good barometer to start with.
Kristine Koerber: Okay. And then another question on the technology, so after the sales order management software and then the customer service module you talked about, what’s next besides just kind of regular updates? Are there any other major investments that will be needed over the next couple of years?
Kurt L. Darrow: It’s hard for us to answer that question, Kristine, because we don’t know what’s coming next from the technology companies. But I know whatever we’re doing today in technology five years from now, it won’t be absolute but it won’t be best practices at the time. So our view is we’re trying to, as we look at our future investment and spending, is to protect that bucket of technology investment for knowing that something else is going to come downstream that helps us in the retail stores, helps our people on the front lines, some other things. So we can’t tell you specifically what that would be, but odds are technology spending is going to be continuing at a high level for most all companies.
Kristine Koerber: Okay. And then as we look at advertising, what is the advertising budget projected to be this year over last year? As we think about the television campaign, how are you measuring ROI? And how do you know that the campaign is working and that it’s driving traffic into the stores and to the brand?
Kurt L. Darrow: Those are very good questions and I’ll answer the second part first. Since we launched the ‘Live Life Comfortably’ campaign and it’s certainly not the only factor but our average store is doing over $1 million more than it did four years ago. And so the marketing effort has had to have some impact on that. I think our sales people are more knowledgeable. I think our product is more fashionable and competitive. But the only thing that we do consistently over the whole network of 325 stores is the marketing because it’s all done with the same creative and the same message. And over that period of time we’ve had traffic, so I think that it’s a clear indicator that our marketing campaign has been effective. And to answer the first part of the question, we have for the last few years been spending around 4% of our sales in advertising and that’s all kinds. That’s not just the ‘Live Life Comfortably’ campaign. And we increase it every year as our sales go up. So we put more dollars to it but we haven’t materially changed the percentage. So we were spending 4% when we were doing 1.2 billion and we’re spending 4% when we’re doing 1.5 billion and the dollars are important, but as a percentage of sales there hasn’t been much movement.
Kristine Koerber: Okay. And then Mike you had mentioned expect to see some pressure in Q1 from the Web site launch. I mean what should we – how much pressure, what should we expect to remodel out Q1?
Louis M. Riccio: Like I said, we’ve spent the money last year more evenly and we’re just talking about that since the Web launch is going in August, most of the money will be spent in the first quarter. I wouldn’t say it’s going to be more than 3 million but it will be a couple of million dollars in the first quarter on that spend for the technology.
Kurt L. Darrow: And I think we had to be sure because some of these things in a normal quarter, we probably wouldn’t even call out, but historically the first quarter we do $50 million, $60 million less than we do in the fourth quarter. And so any expenditure is amplified because of the lower volume but on a year basis, it’s not going to have larger an impact.
Louis M. Riccio: Right. That is the main purpose why I put that in my comments is the first quarter does have the pressure on it, because of the low volume.
Kristine Koerber: Okay, great. And then just lastly, can we just get an update on Urban Attitudes? I know it’s doing quite well for you guys. What are you thinking about the collection longer term and I’m assuming we’ll continue to see expanded SKU assortments?
Kurt L. Darrow: I think that’s safe to assume although we may not have – we may not put it all under the Urban Attitudes monitor. So what it has shown us is that we have a customer that’s looking for that type of product and a customer that we’re trying to attract more of to our stores, which is a little younger, which is a little more fashion-forward and I think we were under serving that customer prior to Urban Attitudes. So it’s still pushing almost a third of our upholstery business and it also I think reflects what’s happening with urban living and people downsizing and living more in apartments and condos that just the smaller scale of furniture is something that everybody is attacking, and we’re glad we got out ahead of it.
Kristine Koerber: Okay, great. Thank you.
Kurt L. Darrow: Thank you.
Operator: Thank you. Our next question is coming from the line of Todd Schwartzman with Sidoti & Company. Please proceed with your questions.
Todd Schwartzman: Hi, Kurt, Kathy and Mike. In discussing the Q4 comps written and hand delivered and in fact the January to May entire first five months of the year, you talked about a number of factors but one thing I don’t think I heard mention was the promotional landscape. Can you talk about any changes you may have seen from month to month within that five-month period?
Kurt L. Darrow: Todd, we don’t really see that much of a change. I mean the furniture business, the furniture industry is very promotional and everybody’s trying new things and ways to attract a customer but nothing that we can point out significantly different. It’s just been – this is an unusual period of time when we have certain months that are high single digits and certain months that are flat, and they’re back to back and we see no discernible change in what’s going on in the external environment. So we’re scratching our heads a little bit to figure out both why it was so good and why it was flat come the next month, but nothing that we can point to yet.
Todd Schwartzman: I can’t recall offhand what the weather was like in January 2014, but if weather was a factor, was it better in January because that would help that month as Memorial Day essentially stronger year-over-year help that particular month?
Kurt L. Darrow: I’m not going to use the weather as an excuse or anything. We had bad weather in '13 too – in '14 and '15. So I just said that was part of the factors. I can’t say that was the only reason or the biggest reason. I would say that January is one of the largest sales volume months we have because of the post holiday sales, clearance sales. And so sometimes the percentage increase on a month is not as meaningful because the month itself like the month of April is not nearly as strong as the month of January. And then a peculiar thing that doesn’t happen all the time in May was that there were five Saturdays and five Sundays in the month, so there was a full complement of five weekends, which is a retailer’s dream. And so we probably benefitted from that a little bit. But there’s no discernible difference in any of those things that you’ve asked.
Todd Schwartzman: So if we were just to parse the Memorial Day and isolate the Memorial Day weekend, you saw some, it sounds like good growth year-over-year. Can you quantify the demand pickup in terms of traffic, ticket any weight at all?
Kurt L. Darrow: So the reason we gave you the five-month number of 4.6, I think that takes out all the noise and gives you a more steady run rate than one weekend was good, one week was bad and two weeks, we have another inflection point with the 4th of July weekend. We’ll see how that turns out. So we like to look at it over a longer term basis and not focus solely on one month. So I think for your planning purposes and thinking about what’s the real pace of our business, that 4.6% number is the best one you can use.
Todd Schwartzman: Got it, okay. Thanks. I wanted to just ask on the casegoods, Kurt. You had made a statement that you’re gaining traction with some of the new collections. Just curious about what you were referring to whether it’s new customers or maybe just better placement with existing ones?
Kurt L. Darrow: Well, my comment there, Todd, was 18 months, two years ago we said that our – in general that our casegoods assortment was SKU’ed too far on the traditional side and we had to get more transitional and get more up-to-date looks. And so we’ve changed out a lot of the product and we’re more balanced today with less formal because the American people aren’t building as many formal dining rooms and formal bedrooms and their more casual and our furniture didn’t quite reflect that. And we’re starting to see the benefits of that. In fact, we’ve had a couple of groups, particularly at Kincaid that sold so well, we’ve temporarily ran out of stock and will be caught up in the next 60 days. But it’s just the product that’s more on trend as it’s resonating. And as we have that better product, our ability to sell more through existing customers and pick up new customers is going to increase.
Todd Schwartzman: Excellent. Thanks a lot.
Kurt L. Darrow: Thank you.
Operator: Thank you. It appears there are no further questions at this time. I would like to turn the floor back over to management for any additional concluding comments.
Kathy Liebmann: Thank you everyone for joining us on this morning’s call. If you have any follow-up questions, please give me a call. I’ll make myself available for you. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation and you may disconnect your lines at this time.